Operator: Good morning. Thank you for attending today’s Univest Financial Corporation Third Quarter 2022 Earnings Conference Call. My name is Alexis and I will be your moderator for today’s call. [Operator Instructions] I would now like to pass the conference over to Jeff Schweitzer, President and CEO of Univest. You may proceed, sir.
Jeff Schweitzer: Thank you, Alexis and good morning and thank you to all of our listeners for joining us. Joining me on the call this morning is Mike Keim, our Chief Operating Officer and President of Univest Bank & Trust and Brian Richardson, our Chief Financial Officer. Before we begin, I would like to remind everyone of the forward-looking statements disclaimer. Please be advised that during the course of this conference call, management may make forward-looking statements that express management’s intentions, beliefs or expectations within the meaning of the federal securities laws. Univest’s actual results may differ materially from those contemplated by these forward-looking statements. I will refer you to the forward-looking cautionary statements in our earnings release and in our SEC filings. Hopefully, everyone had a chance to review our earnings release from yesterday. If not, it could be found on our website at univest.net under the Investor Relations tab. We reported net income of $20.8 million during the third quarter or $0.71 per share. Our net interest income increased 13.2% from the second quarter of the year as we continue to benefit from rising interest rates. Additionally, we continue to have very strong loan growth as loans grew $190.6 million or 13.5% annualized, excluding PPP loans during the quarter. Year-to-date loan growth has been $568.8 million or 14.4% annualized, excluding PPP loans. We are very happy with our results for the quarter as our pre-tax pre-provision income continues to be solid and increased 27.9% from the second quarter. Additionally, while non-interest income has been negatively impacted by increasing rates and decreasing margins for mortgage banking, along with the decline in financial markets impacting assets under management and supervision for wealth management, new business production across our lines of businesses continues to be solid setting us up for continued future growth. Finally, while there is definitely recession risk as the Federal Reserve continues to raise rates, our credit quality continues to be solid as non-performing assets to total assets declined 4 basis points during the quarter with minimal net charge-offs of 8 basis points. Before I pass it over to Brian, I’d like to thank the entire Univest family for the great work they do everyday and for their continued efforts serving our customers, communities and each other. I will now turn it over to Brian for further discussion on our results.
Brian Richardson: Thank you, Jeff. And I would also like to thank everyone for joining us today. As Jeff indicated, we continue to be very pleased with our performance during the first 9 months of the year. I would like to touch on five items from the earnings release. First, our strong loan growth in recent years coupled with the benefit of the rising rate environment continued to provide momentum for our net interest income and net interest margin. Reported margin of 3.67% increased 48 basis points compared to last quarter. Core margin, which excludes the impact of excess liquidity and PPP, was 3.68%, an increase of 27 basis points when compared to last quarter. Net interest income increased $6.8 million or 13.2% compared to last quarter. Second, during the quarter, we recorded a provision for credit losses of $3.6 million. Our coverage ratio was 1.28% on September 30 compared to 1.27% at June 30. For the first 9 months of the year, we have had net charge-offs of $3 million or 7 basis points annualized. Despite general economic concerns, we are not seeing signs or pervasive credit quality deterioration in our portfolio. During the first quarter, we actually saw a slight reduction in non-performing assets and delinquencies and a $59 million or 35% reduction in criticized and classified loans. Third, non-interest income decreased $2.6 million or 12.6% compared to the third quarter of 2021, which was primarily driven by a $2.4 million decrease in net gains on mortgage banking due to a decrease in saleable volume. Fourth, non-interest expense increased $3.4 million or 7.9% compared to the third quarter of 2021. This includes $1.2 million related to our digital transformation initiative, $504,000 resulting from the inclusion of the Paul I. Sheaffer Insurance Agency which was acquired on December 1 of last year and $227,000 related to our expansion into Western Pennsylvania and Maryland. Excluding these items, non-interest expense increased $1.5 million or 3.4%. Fifth, on October 26, the Board of Directors authorized an additional 1 million shares for repurchase. Including this authorization, there are a total of 1.3 million shares – 1.23 million shares authorized for repurchase. During the first 9 months of the year, we purchased 450,000 shares at an average price of $25.29. Going forward, we will opportunistically repurchase shares with no pre-defined quarterly volume targets. I believe the remainder of the earnings release was straightforward and I would now like to provide two updates to our 2022 guidance. First, on last quarter’s call, I had guided loan growth of 10% to 11% for 2022. Based on our continued strong growth during the quarter and our current pipelines, we are increasing this guidance to 13% to 15%. Second, we expect the increased loan growth, coupled with the rising rate environment to result in net interest income growth of approximately 23% to 25%, off the base of $173.4 million in 2021. This assumes a 75 basis point rate increase next week and another 75 basis points in December. I’d also like to note the guidance provided last quarter for the provision for credit losses, non-interest income, non-interest expense, and income taxes remains unchanged. That concludes my prepared remarks. We will be happy to answer any questions. Operator, would you please begin the question-and-answer session?
Operator: [Operator Instructions] The first question comes from the line of Tim Switzer with KBW. You may proceed.
Tim Switzer: Hey, good morning. I am on for Mike Perito. Thanks for taking my question.
Jeff Schweitzer: Good morning, Tim.
Brian Richardson: Good morning, Tim.
Tim Switzer: I wanted to ask about the upgraded loan guide. It’s kind of an acceleration I guess from what you guys are expecting last quarter sort of implied like a high single-digit rate in the back half of the year. And now, I am looking at it real quick, but it looks like you are in the double-digits on like low double-digits now. So I want to hear kind of what are the trends are seeing, which markets? Are you seeing the growth? And then, what are your expectations for at least the first half of next year?
Mike Keim: Hey, Tim. So, this is Mike Keim. When we talked in the last quarter’s call, there was – we still had strong pipelines and we are moving forward. We had element of caution with regard to what would have to happen to activity as the Fed continue to move interest rates up. As we at this point in time, our pipelines are full for the fourth quarter and we expect a very similar quarter to what we had this quarter in the fourth quarter there for Brian’s guidance. As we move into next year, I still am cautionary and we are still caution as an organization with regard to how long demand will hold up as the Fed continues to raise rates. So that was really what – why we were a little bit more cautious and conservative last quarter. We are kind of staring it in the face with regard to the fourth quarter right now, but we are still cautious to some degree as we move into 2023.
Tim Switzer: Okay, yes, I understand the 2023 outlook. That’s fair with the Fed rate. And then could you talk about which markets and categories are seeing the strongest growth in demand from?
Mike Keim: We are actually – we have a very well diversified book and we are seeing growth across the footprint. At this point in time, our customers continue to see strong economic activity. There is some level of caution that’s going on with regard to hiring new people, but other than that, everybody kind of thinks that at the very least we are going to have a slowdown, if not some type of recession. But individually, each company is kind of thinking their business is doing fine. So, it’s kind of an odd kind of situation at this point in time for perspective, but other than that, we are seeing that growth and strong activity across the board. So there is no specific market or no specific asset class that is stronger than another or at least memorable.
Tim Switzer: Okay, thanks. That’s good color. And the last question for me is on the margin, really good core expansion this quarter with another 150 basis points baked in on your guide, could you talk about where you see the margin going from here and to like first half of 2023?
Brian Richardson: Sure, Tim. This is Brian. So for Q4, we expect kind of in that 5 to 10 basis point expansion range on NIM. While we are not positioned to give full guidance for 2023 as we are in the middle of our budget process, I think as you kind of just think about our asset sensitivity and the reduced benefit of that asset sensitivity, the further we get into this raising rate cycle, I would think it would be fair to include that NIM would kind of peak out in the fourth quarter, maybe into the first quarter and then you start to see it pullback into that 355 to 365 type range going forward as we – on a more normalized basis.
Tim Switzer: Okay, that’s understood. And did you guys take anymore actions and limit the asset sensitivity like the swap you guys did last quarter or is it more just you are expecting some rising deposit betas?
Jeff Schweitzer: It’s really the asset size continuing to behave as we originally modeled. And as we have seen on the first handful of raises, the first 300 basis points of raises, where the changes coming in is on the liability side as the positive betas catch up, up through this point, our cumulative beta on interest-bearing deposits is in that 12% range, historically, in a rising rate environment, we would see that in the 45% range. So we expect that to catch up here as things continue to go in the upward rate environment.
Tim Switzer: Okay, great. That’s all for me. Thank you.
Operator: Thank you, Mr. Switzer. The next question comes from the line of Matthew Breese with Stephens Inc. You may proceed.
Matthew Breese: Good morning.
Jeff Schweitzer: Good morning, Matt.
Matthew Breese: Curious on the loan growth guidance, is there anything else that’s driving that beyond just good kind of core economic activity in your local markets, maybe talk about the hiring efforts and whether that’s bearing fruit. The other thing I am curious about is, is whether or not there has been any change in the competitive landscape like have you seen some of the insurance companies, your non-banks pullback and become less competitive?
Mike Keim: So Matt, It’s Mike, in terms of hiring, we’ve consistently looked for and brought on strong producers. So that continued to benefit us over time. There’s nobody specifically that we brought on that all of a sudden has produced some outsize growth in the last quarter result. So it’s really the cumulative efforts that we’ve had, with regard to the expanded markets in Western Pennsylvania and Maryland. We’re still building up pipelines there. That’s contributed a little less than $10 million to the loan growth in the third quarter. So it’s helping but it’s not a big driver at this point in time. But we will continue to make investments as we grow out those regions. Beyond that, from a competition perspective, we met with a couple people that seem to indicate perhaps there is some back off on multifamily. From an insurance company perspective, but we haven’t seen anything that dramatic at this point in time.
Matthew Breese: Got it. Okay. And then maybe just talk a little bit about the funding strategy supporting what seems to be at least in the near-term, continued strong loan growth, what areas do you expect to rely on is going to be CDs and kind of money market and then maybe just touch on expectations for non-interest-bearing deposits, which have been done in the last couple of quarters?
Brian Richardson: Matt, this is Brian. So we’ve always historically managed in kind of that 100 to 105 range from a loan to deposit ratio, we were now targeting come in at 95 to 100 range, we’re a little bit north of that as we ended here. But of course, growing deposits to continue to fund our growth via core initiatives. It’s kind of an across-the-board approach, being CDs are certainly a place to be going we have some promos that are out in the marketplace. Currently, as well as money markets, we’ve done some adjustments on our rack rates as well to both retain and drive some incremental deposits there. On the non-interest bearing side, we’ve had a pretty good track record in the last the rising rate cycle. For 2016-’19, we saw a 12% average increase per year in non-interest bearing really sits there and kind of that roughly 33% to 35% of our deposit base on a normalized basis, we’d expect that to continue to grow in conjunction with our C&I growth and our treasury management and commercial offerings.
Matthew Breese: Okay, so you expect that historical range to hold?
Brian Richardson: Correct.
Matthew Breese: Okay. And then I think you’d mentioned – I don’t know if I caught it correctly, historically, 45% deposit data for interest bearing, is that what you’re assuming, kind of full cycle this cycle as well, Or any kind of any change to that?
Jeff Schweitzer: Correct. Yes, we’d expect the [indiscernible] back to those all historical norms. So for 40% to 45%, on interest bearing in the low 30s, when you look at it on a total deposit basis, assuming our mix stays the same where it’s two-thirds, one-third between interest bearing non-interest bearing.
Matthew Breese: Okay. And then last one for me just I love some commentary on the overall size of the securities portfolio and how we should be thinking that as a percentage of the total balance sheet?
Brian Richardson: Yes. So where that is today totally in line with where we’d expect roughly 7% of assets historically, we’ve averaged targeted 8% to 9% of total assets. Of course, with our strong loan growth. We that’s balancing act and kind of where we sit today, it seems like an appropriate level within you to manage that moving forward.
Matthew Breese: Okay. Perfect. That’s all I had. Thanks for taking my questions.
Jeff Schweitzer: Thank you, Matt.
Operator: Thank you, Mr. Breese. [Operator Instructions] The next question comes from the line of Frank Sharobe with ABC. You may proceed.
Justin Crowley: Hey. It’s actually Justin Crowley on for Frank from Piper Sandler. Good morning guys. I had a quick question on expenses, and it wasn’t necessarily anything specific to the quarter, but you have had the digital initiative, going for some time now. And that’s been flown through the base, I was wondering if you could spend some time just talking about what the benefits there are. And then specifically, on that digital side, how that could potentially help on the funding side, if at all, just as you look at it further into next year, and sort of what that does for the franchise.
Mike Keim: Yes. So, this is Mike Keim. So, the investments that we have made on the digital side and what we expect out of them, you kind of tick through these. One, we think that the investments we are making are necessary to keep us from a competitive posture there. Two, we are looking at them and the tools that we have, so that we can deepen existing relationships with customers. So, we can sell all of our products and services. So, that is a revenue side of the equation. The third component of it is what you are getting at is ultimately we believe those digital investments will allow us to be a, across the board will be more efficient with regard to processing loans, processing deposits, etcetera, but also gives us an ability to enter into new markets without making heavy investments in fixed infrastructure i.e., physical space. So, as we expand into Western Pennsylvania, and then to the Maryland markets, we can do that with a lot less, more a couple regional headquarters in each of the counties that we serve, and go forward from that perspective. So, ultimately, that’s how it will benefit us from an expense posture. But we will also see benefits across the board with regard to just being more efficient as an organization from the front end to the back end of our operation as we more tightly integrate workflow and use systems to drive data through. Beyond that, from a funding perspective, components of what we are doing on the digital side, are mobile tools with regard to consumer deposit account opening as well as we subsequently will add a stronger small business depository tool. Remember, we are much more a commercial bank than a consumer bank. So, new customer acquisition, that would be driven by kind of a marketing spend would be the fourth pillar of our digital strategy. And we will not embark on that until we get the first three nailed.
Justin Crowley: Okay. Got it. Appreciate that. And then just on that, on the initiative, and sort of the related costs, is that something that is in – forgive me, if you guys talked about this before. But just how that trends into next year and kind of how spend has shaken out compared to, what you originally budgeted for, versus where you see that, as we head into 2023?
Brian Richardson: Yes. For 2022 – this is Brian Richardson for 2022, we had guided towards $3.5 million to $4 million of spend, we expect to come in on the higher end of that range, but still in that $4 million range, expected to be roughly half of that next year. And that’s really a function of some costs we incurred this year that are deferrable due to the long-term nature of the solution that we are building. So, it’s really the amortization of accurate largely coming through in future periods, a lot of our heavy consulting spend, and the upfront work that was needed to be expensed was expensed this year, and we have some items that are capitalized will carry into next year.
Justin Crowley: Got it. And then sort of shifting gears just on uses of capital. I hear you on the buybacks being a little more opportunistic. I guess as far as other uses, you guys have traditionally leaned more on the team strategy. Nothing that I have heard seems to suggest that that that might change going forward. But just on M&A, could you sort of frame what conversations you are having? If any granted, I know deals right now, it seems like they are a little tougher to get done just given some of these marks and some other industry headwinds. But just any updated thoughts on M&A would be appreciated.
Jeff Schweitzer: Sure, Justin, this is Jeff. Bank M&A is really not a priority of ours at this point. So, while we always want to be attuned to what’s going on in the market, and what’s out there, it’s not something that we are overly focused on. We have entered Pittsburgh and Baltimore, by hiring market presidents. They are going to be building teams out organically. That’s been our strategy. Now, since we did the Fox Chase transaction, the Lancaster list out over a $1 billion bank now out there, basically. So, that’s really our focus is the organic strategy as opposed to bank M&A. And given where pricing is right now on stock prices, combined with it we are headed to a recession, buying somebody else’s loan book just makes it even less attractive from our perspective right now. So, we are going to continue with our organic strategy for the time being, and really focus on that.
Justin Crowley: Understood. And then if I could just sneak one last one, and just quickly, on credit, obviously metrics look great. And I think that’s sort of what you are seeing across the industry, no real issues, despite some of some of the headlines in the macro backdrop? Are there any areas where you are getting a little more cautious, maybe not specific to this quarter, but just as you look over the past year or so, or just any areas where you may be tightening up asking for lower LTVs, or just more stringent standards, more broadly?
Mike Keim: Yes. So, Justin, it’s Mike again. So, for the last year, at the very least, we have looked at the office space, with the level of caution. And while we may do a deal or two deals, it’s really reflective of who the underlying tenant is, and what business that they are in, that would drive that. Otherwise, we don’t have a huge appetite for that space. Beyond that, when you look at retail, we will still do certain retail deals. But it’s again, who are the underlying tenants, what are the organizations. So, we want to go into the strip mall with just local vendors or local companies that were once supporting the strip mall. If there was a larger Home Depot/Lowe’s type of underlying tenant, that is something we would look at and move forward with that. But we would also be a little bit more cautious with regard to the LTVs on that side of the equation as well. So, those are the two that come to mind the most. We are very careful to be absolutist saying we will or won’t do anything, because a lot of times it is the facts and circumstances of the deal. But on a general basis, that’s the color I could give you.
Justin Crowley: Okay. Awesome. That’s super helpful. That is all I have. Thank you so much for taking my questions, guys.
Jeff Schweitzer: Thank you, Justin.
Operator: Thank you. Great question. There are currently no further questions registered in queue. So, I will now turn the conference back over to Jeff Schweitzer, for any closing remarks.
End of Q&A:
Jeff Schweitzer: Thank you, Alexis and thank you everyone for participating on the call today. We had a very strong third quarter and we look forward to finishing the year equally as strong. And I hope everybody has a great day and go Phillies.
Operator: The conference is now completed. Thank you for attending today’s presentation. You may now disconnect.